Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Wish Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only-mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]. I would like to hand the conference over to your host Randy Scherago, VP of Investor Relations. You may begin.
Randy Scherago: Hi everyone and welcome to Wish's fourth quarter and fiscal year end 2021 earnings conference call. I am Randy Scherago, VP of Investor Relations and joining me today are new CEO, Vijay Talwar and our CFO, Vivian Lou. Today's prepared remarks have been pre-recorded. There's also a slide deck that has been posted to our IR website which is available for your reference. Once we are finished with Vijay, and Vivian's remarks, we will hold a live Q&A session. Questions can be submitted via the Q&A window chat that will be displayed on your screen. The remarks made today include forward-looking statements that are related to and among other things, our financial expectations, business and turnaround plans, timing for turnaround, expectations regarding merchant relationships, the potential impacts of our strategic, marketing and product initiatives and the anticipated returns on our investments and their ability to drive future growth. Our actual results may differ materially from the results implied by these forward looking statements if certain risks materialize or assumptions prove incorrect. Forward-looking statements involve risks and uncertainties which are described in today's earnings release and our periodic reports filed with the SEC. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today, and we disclaim any obligation to update them. Also, during this call, we'll present both GAAP and non-GAAP financial numbers and metrics. A reconciliation of non-GAAP to GAAP results is included in today's earnings release which you can find on our Investor Relations website, and which is also filed with the SEC. A replay of this call will be posted to our Investor Relations website. At this time, I would like to turn over the call to our company CEO, Vijay Talwar.
Vijay Talwar: Thank you, Randy. And welcome to the Wish team as well. I would like to thank everyone on the call for joining for our fourth quarter and year end 2021 earnings call. On this call, I will update you on our fourth quarter results and I will introduce the three strategic pillars that we expect to drive our successful turnaround and future growth. After my initial comments, Vivian Lou, our CFO will discuss the fourth quarter and year end numbers in more detail. And then I will provide some closing comments before opening up the call to your questions. In the fourth quarter of 2021 total revenues were $289 million, a year-over-year decrease of 64%, driven largely by lower ad spend. However, cost savings resulted in adjusted EBITDA of a loss of $23 million, which was an improvement of $95 million from a year ago. In Q4, free cash flow was negative $50 million which was a material improvement to the negative $344 million of free cash flow in the third quarter of fiscal 2021. We also finished the year with cash, cash equivalents and marketable securities of $1.2 billion. These numbers tell me we need some fresh thinking to guide us back to growth that we all know is possible. Let me start by explaining three foundational pillars that we believe are the most important to the long term financial health and growth of Wish. First, improving our user experience. Second, deepening our merchant relationships, and third, achieving organizational efficiencies. When we get all these pillars fortified, we expect to drive Wish into a new era of growth. Let's take a deeper look at each pillar. For the Wish user experience we are investing to improve the platform to drive more daily engagement, which we expect will generate more traffic, higher conversion and ultimately increased revenues. Several new consumer experience improvements were incubated and tested in the fourth quarter of last year. After a positive reception in consumer facing tests, we are proud to announce a redesign of the Wish homepage, which is designed to showcase trending products, underscore popular brands and highlight popular merchant stores. The new Wish homepage experience is now available on Android phones in the United States and we plan to roll out these enhancements to other platforms and additional countries over the next few months. Another consumer experience that was in development and testing late last year is Wish Clips. We have discussed this with you on previous earnings calls. We are happy to announce that we recently rolled out Wish Clips shoppable video features to Android users in our top nine global markets. Wish Clips greatly enhances consumer interactivity. With one tap of the phone, our users can view videos of products, look at product details, and simply and quickly add a product to the shopping cart. We will begin to roll out the new Wish Clips features to iOS users this April. Over the course of 2022 we will continue to experiment, incubate and invest in exciting new features, products and services that we expect will greatly improve our consumer experience. The second pillar that I would like to discuss are the efforts we're making to deepen our merchant relationships. As a marketplace, we recognize that our merchants sit at the heart of a great consumer experience. I would therefore, like to re emphasize how committed we are to improve the economics of those merchants who provide an outstanding experience to our Wish consumer. In the fall of 2021, we began the rollout of a new program called Wish Standards, which rewards merchants that consistently provide an outstanding experience to our marketplace users. With this program, merchant performance is measured and those that consistently provide an outstanding consumer experience are rewarded with commissioned discounts, better payment terms, and increased visibility to buyers on the Wish platform. The second part of our effort to strengthen our merchant relationships includes consistent and effective enforcement of our merchant policies. This means increasing the channels and ways that members of the public can report non-compliant product listings to us and separately leveraging our internal systems and processes to help with the removal of such listings. Removing the listings, and merchants that violate our policies is an important first step in improving trust not only amongst our users, but our merchants as well. Our ability to provide end-to-end services, including logistic services are a competitive advantage for Wish. Logistics services are highly valued by our merchants. We continue to focus on improving shipping speed, and on time delivery for our consumers while remaining competitive in our pricing for logistics services to our merchants. We believe that our investments in logistics will not only generate greater financial returns for Wish but also strengthen our relationships with merchants. The third pillar is achieving operational efficiencies. 2022 is the start of a new chapter for Wish with a new leadership team of experienced executives. In addition to me joining as CEO in the last few months, we have added a new Chief Financial Officer, a new Chief Technology Officer, and a new Chief Product Officer to the executive team. We have a lot of work ahead of us to improve this business operationally and our first steps are to rationalize corporate overhead and operating expenses. As part of these efforts, we are implementing a restructuring plan and taking a restructuring charges of approximately $3 million for severance and personnel production costs and a maximum of $21 million related to the exit of certain office leases. We are focused on making this a much leaner and more efficient business with a goal of becoming a more profitable enterprise long term. With that being said, today we notified Wish employees that we will undergo a reduction in our global workforce as part of a broader realignment of our resources. We anticipate that this reduction in force will decrease our global workforce by about approximately 15% or approximately 190 positions. This is an incredibly difficult decision to make and a process to go through particularly in my first few weeks. But it is critical that we right size our spending to match the current size and scope of our business. Another step to streamlining our business and more efficiently allocating financial and operational resources was our decision to end our marketplace operations in 79 countries. These markets provided a nominal contribution to our revenues, but a noticeable drag on our margins. So it made financial sense to exit these markets. We will be laser focused on the 61 markets in which we have promising financial results and benefit from economies of scale. With our focus on a smaller number of select markets, we will also be reducing the operational complexity of our business. In summary, our foundational priorities for 2022 are improving the user experience, deepening our relationships with merchants and achieving organizational efficiencies. I will now turn over the call to our CFO, Vivian, to discuss the financial results.
Vivian Lou: Thank you, Vijay. Today I will discuss our fourth quarter and fiscal year 2021 results. I will also provide adjusted EBITDA guidance for Q1, 2022 and information on revenue in the quarter through January. Our Q4 adjusted EBITDA was a loss of $23 million, a significant improvement, compared with a loss of $118 million from Q4, 2020. This exceeded the high end of the guidance we provided on our last call. Our Q4 total net loss was $58 million or a loss of $0.09 per share, which improved from a total net loss of $569 million, or a loss of $3.04 per share in Q4, 2022. Q4 free cash flow was negative $50 million, a decline from year-over-year standpoint, but a significant improvement quarter-over-quarter compared to free cash flow of negative $344 million in Q3. We shared on the last call that we focus on cash flows and EBITDA during the turnaround. The Q4 results are a reflection of our progress in EBITDA improvement and cash flow optimization. Since July 2021, we have kept our ad spend at a much reduced level which impacted our user metrics and financial performance. In Q4, MAU monthly active user count and the last 12 months active buyer count experienced a 58% and a 41% decline respectively year-over-year. Total revenues were $289 million, a decline of 64% year-over-year. This revenue decline was across core marketplace, product food and logistics. Q4 gross profit was $120 million representing 42% of revenues, a decline from 57% of revenues in Q4, 2020. The decline in gross margin was a primary driven by logistics revenue accounting for a higher percent of total revenue in Q4. Total operating expenses were $184 million, a reduction of 81% year-over-year. Sales and marketing expenses were $89 million a reduction of $494 million year-over-year representing 31% of revenues in Q4 2021, compared with 73% of revenue in Q4, 2020. The change in sales and marketing expenses were primarily driven by reduced ad spend. Product development expenses were $51 million, a reduction of $99 million year-over-year. G&A expenses were $44 million, a reduction of $186 million year-over-year representing 15% of revenues compared with 29% of revenues in Q4, 2020. The change in product development and G&A expenses were primarily driven by higher stock based compensation in 2020; the year of Wish's IPO. Now turning to Wish's year end result. 2021 revenues were $2.1 billion, a decline of 18% year-over-year. Core marketplace revenues were $1.3 billion, representing a decline of $685 million or 34% year-over-year. The decline was primarily driven by lower order volumes associated with a lower ad spend during the year. Additionally product boost revenues were $165 million, representing a decline of $35 million or 18% year-over-year driven by lower level of activities on the Wish platform. Logistics revenues were $743 million, representing an increase of $229 million or 45% year-over-year. This increase was primarily due to accelerated merchant adoption of our logistics offering as well as the expansion of our A Plus program in which Wish manages the majority of shipping related activities for the merchants. Gross profit for 2021 was $1.1 billion, representing 53% of revenue, down from 63% of revenues in 2020. Similarly to Q4, the decline in gross margin percentage for the year was primarily driven by logistics contributing a higher portion of total revenues. Total operating expenses for 2021 were $1.5 billion, a decrease of 34% year-over-year. Sales and marketing expenses were $1.1 billion, $606 million lower year-over-year representing 53% of revenues, compared with 67% of revenues in 2020. Product development expenses were $208 million, $14 million lower year-over-year. G&A expenses were $165 million, $130 million lower year-over-year representing 8% of revenues compared with 12% of revenues in 2020. Our 2020 adjusted EBITDA was a loss of $199 million, an improvement from a loss of $217 million in 2020. Our total net loss was $361 million improved from a total net loss of $745 million in 2020. The improvements in profitability are the net result of significant cost savings across board more than offsetting the decline in revenues after we reduce ad spend. A few comments about cash flows. We ended 2021 with a solid cash position of $1.2 billion in cash, cash equivalents and marketable securities. In 2021, net cash using operating activities was $951 million. This was primarily driven by our net operating losses and unfavorable changes in working capital. I'd like to note that some of the unfavorable changes in working capital are not expected to recur in 2022. For example, we negotiated a payment term extension with some vendors in 2020. Those terms expired in Q1, 2021 resulting in additional cash use of roughly $170 million. We do not anticipate similar events this year. As previously shared, our cash flows in Q4 significantly improved quarter-over-quarter reflecting cost savings and less volatility in working capital since Q3 last year. At this time, I will be providing our outlook for Q1 of 2022. We expect adjusted EBITDA to be in the range of negative $70 million to negative $60 million. We expect the Q1 EBITDA to be lower relative to Q4 due to seasonality as well as price changes in selected areas that were implemented during Q1. Collectively, those price changes are expected to reduce revenue and EBITDA for the quarter, but enhanced user engagement and conversion rates going forward. We also continue to rationalize advertising spend until we see consistent improvement in metrics such as the buyer retention and NPS. Q1 revenues are expected to reflect the relatively low ad spend level during the quarter. As a reference point, our revenues in January 2022 were down 28% relative to October 2021, the first month of the last quarter. During my first three months at Wish I have spoken with a number of existing and potential investors. I received the feedback that a Wish may consider disclosing additional metrics to help the investor community evaluate the business operational and financial performance. As a reminder, currently Wish reports the actual results on KPIs including but not limited to monthly active users last 12 months total buyers revenues and adjusted EBITDA. Wish also provides quarterly guidance on adjusted EBITDA. The management team is actively assessing the feasibility of adding new KPIs to our disclosures, either in actual results, future guidance, or both. We will keep you informed as we finalize that decision. I will now hand it over back to Vijay.
Vijay Talwar: Thank you, Vivian. We must be objective in our outlook, and realistic that any successful turnaround does not happen overnight. We are refocusing on our roots of providing an affordable and entertaining shopping experience for our marketplace users. We greatly appreciate the support from our investor community, our employees, our merchants, and other key stakeholders, and we expect to see the first green shoots of our operational progress later this year. However, to achieve sustainable growth, and a full turnaround, we expect this journey to take many more months. At this time, I want to thank all the hard working employees at Wish. As the new CEO, I would be remiss not to acknowledge that our employees have been through a lot in the past year. Wish is at its heart of people business. And our success has been and will continue to be driven by your creativity, your hard work, your talent, and your focus. I am thrilled to be your CEO, and I look forward to being in the trenches as we work hard each and every day to make this a more successful company. We will now open up the call to questions from analysts and investors. In addition to myself and Vivian, our Chief Technology Officer Farhang and our Chief Product Officer Tarun will also be available to answer your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Michael McGovern from Bank of America.
Michael McGovern: Hey, guys, thanks for taking my question. I wanted to ask about the strategic perspective from here on a couple aspects of the business. One would be from a geographic perspective. You outline that you're closing or exiting 79 markets and remaining on 61. I was wondering if any particular markets are of a specific focus for you particularly the U.S. are you more focused on growth in the U.S. now than maybe Wish might have been in previous years? And then secondly, the strategic perspective on AOV. Are you more focused on say call it higher AOV items relative to lower price items going forward which is the theme that we had heard in some previous quarters. And that's all. Thanks.
Vijay Talwar: Thank you, Michael. So just to kind of repeat the question you're asking about a strategic perspective, a from a geographical perspective and be from an AOV perspective. I'll stop the answer and I'll ask the others to chime in as well from a geographic perspective, we already talked about the fact that we have recently left about 79 markets and we are focused on the 61. The 79 markets, we talked about the fact that they were relatively small or very nominal in terms of the revenue, although there were still a drag on our sort of margins and therefore, it made financial sense to exit those businesses. In terms of the 61, that we continue to focus on. I believe that the biggest markets we're going to be focused on continue to be North America, and sort of Western Europe. So if you think about the top 10 markets that we're focused on, they're predominantly sort of Canada, and U.S. as well as sort of the big seven, big eight markets in Europe. So those markets will get more attention as part of the new strategy in the new realignment. The second part of your question was, as it relates to AOV and I think there's some work that we still need to continue to do to provide that sort of amazing consumer experience and I think part of the strategy will be to increase AOV. We may not see that immediately. But we have started some conversations and collaborations with our merchants to talk about what does that look like. I mean, if you're shipping something below $5, and paying a significant amount in shipping, the actual value that the consumer is getting is lower. So how do we try to, and there is lots of ideas in terms of how we prioritize that to kind of increase that AOV and we believe that ultimately, as part of this turnaround strategy, increasing AOV will be a big factor in increasing our top line or our revenue. So I think there will be more to come on that as we continue to progress over the months. Tarun I don't know if there's anything you want to add from a country perspective?
Tarun Jain: Sure. Thank you, Vijay. This is Tarun here, the Chief Product Officer here at Wish. The only thing I'll add is when we focus on the 61 markets, we picked up the markets that offer us the most growth potential. And our intent is to significantly invest in these markets so we better serve our users and merchants. If you look at the selected markets, it's less of a country by country exit. It's more of a regional exit. So we plan to double down and invest significantly in the North Americas and in the Europe region. We continue to operate in all countries, in U.S. and in EU, which have been really thriving and growing markets from us from all perspectives; from customer experience and NPS perspective, from financial perspective and from growth perspective. So to answer your first question, yes, these are the key markets that we will continue focusing on. Thank you.
Michael McGovern: Got it. Yes, it's super helpful. Thanks guys.
Operator: Our next question comes from Stephen Ju with Credit Suisse.
Stephen Ju: Thank you. So that's 79 countries to follow up on one of the earlier questions. That's your existing from what percent of the remaining I guess 44 million user base that you disclose to a fourth quarter does this account for at this point? And also can you explain the link between the price changes you mentioned in the prepared remarks and the expected output of improvement in the conversion rates? Are you just offering better terms to the higher quality sellers? Or if there's something else going on? Thank you.
Vijay Talwar: Thank you, Steven. Just to kind of repeat the question. So talking about the 79 countries, what percentage of the use of base is impacted, I will hand that piece over to Tarun and on the price changes. What I will just talk about there just as an introduction and have Vivian kind of follow up is that our real focus is ultimately focusing on the merchants, which will ultimately drive a better user experience, and help to increase our net promoter score from a consumer perspective. And so in doing that, what we really want to focus on is focused on our best merchants. So we've started to do some testing and piloting with what we would consider our top tier or platinum or best merchants. And that's, where we're sort of starting to invest dollars to work collaboratively with them to figure out how do we provide a much better consumer experience. And these are, again, pilots either specific to countries or regions or categories. And that what we're doing is we're just sort of testing and learning right now, but a lot of that is happening in Q1. So we can get enough data. So that when the back half of the year when we start to accelerate from top line perspective, we can make the right long term decision. So hopefully that gives you some color on that. But I'll let Tarun add some more color on the countries and then Vivian will talk a little bit more about the price changes.
Tarun Jain: Thank you, Vijay. So on the country's piece, we are not disclosing the Dow's associated with the 79 countries because it is not material to our total number. The decision to exit these markets on the buyer side has been driven by our long term business goals. This reduces our operational complexity of the business, across marketing, across larger stakes, across customer support, across payments, and various other facets of the business. And that has been the key driver. We don't anticipate material impact on any of our numbers from here on.
Vivian Lou: Yes. So on the pricing changes. I think Vijay explained already very comprehensively and thoroughly. I would just add, based on the experiments we run, we see encouraging signs that impact on fire retentions and engagement level. So I think that's what we kind of focus on during the turnround. And that will restart the flywheel once we increase our ad spend in the second half, which will benefit both top line growth and bottom line overtime.
Vijay Talwar: Thank you Vivian. I would say the one thing I would add to that is that our goal really is to become a much more consumer centric company. So again, a lot of the focus, whether it's on other aspects of the business, whether it's the employee morale, to deepening our relationship to the merchants, ultimately it's about driving and delivering a much better consumer experience. One of the metrics that we are starting to track and seeing some pretty good progress on is the Net Promoter Score. So that is something that we're very, very laser focused on and we believe that ultimately that's a leading indicator for us, and in our transformation into becoming a much more consumer centric company.
Stephen Ju: Thank you.
Operator: Our next question comes from Kunal Madhukar of UBS.
Kunal Madhukar: Hi, thanks for taking my question. A few if I could. One is on the 44 million MAUs that you had in the quarter, what percentage of this 44 million was MAUs that you also had in three 3Q, '21. And what percentage of this 44 million was MAUs that you had in the year ago period? So that is one. Second is on the NPS side and the focus to being a more consumer centric company, I thought the whole goal of Wish was to be a consumer centric company from the get go. So how is it that your focus is now changing? Where is it that you think that the company kind of lost its focus on the consumers? And what is it that you really need to rebuild among the consumers? Thank you.
Vijay Talwar: Thank you Kunal. Really appreciate the question, I will ask Vivian to comment on the 44 million customers in the MAU as well as the retention, which I believe we share very little information on from quarter-to-quarter. But I will tell you this from a consumer centric company, let me just kind of address that first. While that has always been the goal to be a consumer centric company, I can tell you coming in, again having looked at other e-commerce companies, other retailers, our scores and our data or the KPIs don't match that one of a consumer centric company. So I think there is a lot of headroom there. And we can just become much more consumer centric, if that makes sense. So that's, that's where they're going with it. I think over time, with some of the issues we had, whether it was logistics and supply chain related, whether it was issues with sort of delays on delivery, or the quality of the product, there are things that sort of, kind of partially driven or accelerated because of all the constraints caused by COVID did impact our customer journey, as well as our consumer experience. So, with this, it may just be we're getting back on track. Pretty big dislocation given what has happened globally across all the markets around the world with the impact of COVID. And so this is really more about getting back on track and getting much more focused on sort of delivering on that consumer promise. With that I will hand it over to Vivian to talk a little bit about the 44 million customers.
Vivian Lou: Yes. So as we mentioned, we don't disclose retention rate specifically. But historically Wish very focused on acquiring new customers through paid ads advertisements spent, as we scaled back ad spend since July last year, that obviously had an impact on the new buyers or users we brought to the platform. So our goal is to really focused on improving our user experiences and the merchant engagement. And we will try to obviously drive more organic revenue growth going forward and improve user experience and merchant engagement. So those $44 million as of today, I think it's probably more return to buyers or users then new buyers acquired during that period of time.
Kunal Madhukar: Thank you. And as a follow up to that then when you think of like the –
Speaker: Can we go to the next question?
Operator: Sure. Okay, our next question comes from Laura Champine with Loop Capital.
Laura Champine: Thanks for taking my question. It about your –
Randy Scherago: Someone there?
Laura Champine: Yes can you hear me? It sounds like there might be some issues.
Randy Scherago: Can you can you hear us? 
Laura Champine: I can hear you. Can you guys hear us? 
Randy Scherago: Yes, we're still here. One moment Laura. 
Vijay Talwar: We got disconnected. Hello.
Randy Scherago: Can you hear me David? Hello.
Laura Champine: Seems like I can hear the operator and likely many fellow sales [indiscernible] but not the management team. They can't hear me.
Randy Scherago: Okay Laura go ahead with your question.
Laura Champine: Okay. My question is around the philosophy for sales and marketing expense. What is the thought process there for this year in 2022? And is there a general belief that Wish historically over earned from product boost and had an unsustainably high take rate?
Randy Scherago: One moment Laura.
Vijay Talwar: Setting the question really is more about what is the thought process on sales and marketing expenses?
Laura Champine: That's part of the question.
Vivian Lou: For some reason, we cannot hear the question through audio. So we're reading the question of the chat window. We believe the question is about the thought process around the sales and marketing expenses incurred on '22. And we don't guide self marketing support for at the forward-looking statements and the general trends focused on '22 why we need to focus on the turnaround and improving user experiences and merchant engagement which is the first half of 2022 we will keep the ad spend, self marketing spend at a very rationalized level until we see consistent green shoots in operation and then we will increase our ad spend to restart the flywheel which will we share this in the last call and the current plan is still to do that the second half to 2022.
Laura Champine: Okay. Can we ask the question about product boost? Did Wish historically over earn there and have an unsustainably high take rate? 
Operator: One moment I believe they still can't hear you.
Laura Champine: Right. 
Randy Scherago: Okay. Ladies and gentlemen, please stand by. Again, ladies and gentlemen, please stand by. The call will resume momentarily. Again, ladies and gentlemen, please stand by. Again, ladies and gentlemen, please stand by. Your call will resume momentarily. Okay, you are back [indiscernible] the operator. Can you hear me? 
Operator: Yes, we can.
Randy Scherago: Hello. Okay. Laura, could you please start with your first question over again just to make sure you get complete answer.
Laura Champine: Sure. So it was a two part. So let's get to the second part. On product boost specifically but also generally if we look at Wish historically, had the firm been over earning meaning should we see the take rate below that historical level that we talked about qualitatively at the time of the IPO?
Vivian Lou: So in terms of the product boosts revenue, as long as the market, core marketplace revenue, usually that goes with the order volume on the platform. So as we reduce the ad spend both revenue stream were negatively impacted year-over-year. In terms of take rate, I don't think we historically shared a lot of information on that or guide on it. But as part of the turnaround strategy, we are assessing our pricing strategy across the board to [indiscernible] shared before to improve our economics for high caliber merchants on the platform and the user experience. So that may have impact on the take rate but we are not ready to share to provide the guidance or share specifically on that just yet as of today.
Laura Champine: Understood. Thank you.
Operator: Ladies and gentlemen, this does conclude the Q&A portion of today's conference and this does concludes today's conference call. You may all disconnect and have a wonderful day.